Jennifer Samuels: Good afternoon, and welcome to SM Energy's Third Quarter 2023 Results Webcast. Before we get started on our prepared remarks, I'll remind you that our discussion today will include forward-looking statements. I direct you to Slide 2 of the accompanying slide deck, Page 6 of the accompanying earnings release and the Risk Factors section of our most recently filed 10-K, which describe risks associated with forward-looking statements that could cause actual results to differ. We will also discuss non-GAAP measures and metrics, definitions and reconciliations of non-GAAP measures and metrics to the most directly comparable GAAP measures and discussion of forward-looking non-GAAP measures can be found in the back of the slide deck and earnings release. Today's prepared remarks will be given by our President and CEO, Herb Vogel; and our CFO, Wade Pursell.  I will now turn the call over to Herb. 
Herbert Vogel : Thank you, Jennifer. Good afternoon, and thank you for your interest in SM Energy. I will start on Slide 4. We are very pleased today to discuss our third quarter and year-to-date results. You'll see that we continue to deliver on our core strategic objectives for 2023, demonstrate the quality of our assets and position our company for an even stronger 2024. I'll start by reviewing our progress against the objectives we set forth early in the year. First, deliver an increased return of capital to our shareholders.  In the third quarter, return of capital amounted to $114 million, which is up 31% from the previous quarter. In addition to the dividend, we repurchased and retired 2.35 million shares of stock. From inception of the return of capital program in September 2022, we have now repurchased 7.7 million shares or around 6% of the shares that were outstanding as of September 2022. Looking ahead, I'm very pleased to announce a 20% increase in our fixed dividend policy. As we emphasize when we initiated the return of capital program, we seek to offer a sustainable dividend through the cycles in our industry. This increase is a testament to the confidence we have in our assets, capabilities, performance and outlook.  Turning now to Slide 5. The second objective is to focus on operational execution. This quarter, we enjoyed continued strong well performance in both the Midland Basin and South Texas. This was complemented by faster drilling and the accelerated completion of three wells in South Texas. Also this quarter, our land team executed an asset exchange at our Sweetie Peck location. This increased our working interest from around 42% to nearly 100% in 9 15,000-foot lateral drilled but uncompleted wells which we expect to be strong performers when they are turned in line early in 2024. Looking ahead, these wells are expected to contribute to our estimated mid-single-digit oil growth next year.  Our third objective is to replace and build inventory during 2023. Year-to-date, we have increased our Midland Basin footprint by just over 29,000 acres or about 35%. We contracted a fourth rig for the Midland Basin that commenced drilling on a Howard County pad in early October. We intend to move it to our new acreage position in North Martin and South Dawson Counties in December once permits and other logistics are in place. Looking ahead, this rig is currently contracted for 6 months, and we are excited to initiate drilling in the new area, which we expect to contribute to both our high-quality inventory and 2024 oil production growth.  In short, we have exceeded expectations on all fronts this year. As we wrap up the last 2 months of 2023, we expect to remain well positioned for a positive trajectory in 2024.  I'll now turn it over to Wade to speak to some of the specifics behind these results and what to expect in the fourth quarter. Wade? 
Wade Pursell: Thanks, Herb. Good afternoon, everyone. Before I get into the details of the quarter, I'd like to step back, put some numbers behind the strategic objectives that Herb just walked through.  Turning to Slide 6. Our sustainable and repeatable long-term business model is generating substantial free cash flow a 7% yield to current market cap over the last 12 months. In turn, we allocate that free cash flow with disciplined objectives to generate long-term value. We seek to: one, maintain low leverage; two, maintain and build our high-quality inventory base; and three, return to predictable yield with upside opportunity to our stockholders.  Drilling down on capital allocation. On the top half of the slide at January 1, 2022, SM started the year with $333 million in cash and since then, generated $1.2 billion of adjusted free cash flow. This has been allocated using round numbers as follows: approximately 50% to 55% to debt reduction reducing our net debt to adjusted EBITDAX from 1.5x to currently 0.7x, 10% to acquisition/inventory and 30% as a return of capital to stockholders with the cash balance increased to around $400 million.  Then looking at the bottom half of the slide, we show these metrics for 2023 year-to-date. We entered 2023 with $445 million in cash and had essentially met our leverage target. This year-to-date, we have generated $353 million of adjusted free cash flow with low leverage in place, we've been able to lean in further on the return of capital to our stockholders while still maintaining inventory. Year-to-date, capital allocation has been approximately 65% to stockholders and 30% to acquisitions and increased acreage.  Looking ahead, I think you can assume that we will continue to maintain a thoughtful balance for long-term sustainability.  Turning to Slide 7 and a quick look at the balance sheet, which remains very healthy. Net debt to adjusted EBITDAX 0.7x, liquidity of $1.65 billion, including zero drawn on the revolver with commitments of $1.25 billion. Maturities staggered ratably from 2025 through 2028, offering significant flexibility. As I've mentioned, we are earning over 5% on invested cash, so no rush in taking down the 2025s.  So let's turn to Slide 8 now and look at the details from the excellent third quarter results. Production of 14.1 million BOE or 153.7000 BOE per day with oil production at 44% or 67,000 barrels per day, slightly exceeded our guidance. The beat was driven from South Texas, where faster drilling and completion accelerated 3 wells that contributed to the quarter. Strong oil production, combined with higher sequential commodity prices, supported GAAP net income of $1.88 per diluted share, adjusted EBITDAX of $476 million.  Cash flow from operations adjusted for working capital changes of $436 million and adjusted free cash flow of $208 million. All of these bottom line results were up significantly sequentially and I believe, albeit consensus expectations. The financial statements are generally straightforward, although I will point out that we have earned a significant tax credit for the research and development efforts behind our optimized well performance.  As we pointed out over the years, we have pioneered technology and innovation in the Permian Basin and continue research and innovation in South Texas Austin Chalk. These efforts support a research and development tax credit. In addition to the current year benefit for periods prior to 2023, we have recognized a $77 million benefit, which will be carried forward to future years, reducing cash taxes in those years.  For your modeling purpose, this is expected to reduce our cash taxes in coming years by up to 75% until the carryforward is completely used, a significant future cash tax benefit. For purposes of adjusted net income, the onetime prior period carryforward was removed. Capital expenditures adjusted for change in accruals were $228 million. This came in below guidance, but is simply due to timing so the difference gets pushed into the fourth quarter, which is a good segue to guidance on Slides 9 and 10.  Full year production guidance has narrowed at the high end of the previous guidance range to 55.1 million to 55.4 million BOE or 151,000 to 152,000 BOE per day at 42% to 43% oil. Implied fourth quarter production then is 13.7 million to 14.0 million BOE or 149,000 to 152,000 BOE per day at approximately 42% oil. The increased working interest in the 9 DUC wells gained in the Sweetie Peck asset exchange will come online early in 2024, benefiting first quarter '24 production volumes.  Capital guidance is unchanged other than to add the cost associated with the increased working interest in the 9 DUC wells from the Sweetie Peck asset exchange. The full year guidance is now $1.1 billion. This puts the fourth quarter at $290 million to $305 million and is expected to include drilling 30 net wells, 17 in Midland and 13 in South Texas and completing 11 net wells in Midland. LOE guidance for the full year is reduced. We've picked up a workover rig and expect the fourth quarter to range around $5.55 to $5.65 per BOE and the full year to come in between $5.20 to $5.25 per BOE. Transportation expense could come in around $2.25 in the fourth quarter, keeping full year guidance around $2.50 per BOE.  So in summary, a great quarter, great execution by the team. Solid cash flow generation resulting in significant return of capital to stockholders. I'll now turn it back to Herb to walk you through a few highlights from the field. Herb? 
Herbert Vogel : Thank you, Wade. At SM, we differentiate ourselves with the high quality of our asset base and the high caliber of our geoscience team targeting the best reservoir intervals, our engineering team using cutting-edge simulation and data-driven analytics to optimize completion designs, and that is followed by flawless execution from our operations team. The following slides present third-party data from JPMorgan, Enverus, Rystad and TD Cowen, who all agree with us that our optimization efforts over the years continue to deliver improved performance.  Skipping to Slide 13 and Midland Basin well performance relative to peers.  On the left, Gabe Daoud at TD Cowen looks at oil production per foot over the past 3 years from SM compared to 20 other Midland peers, a full set of peers, and pointed out in his words, “SM is Numero Uno.” On the right side, we see Enverus data that shows EURs by operator in the Midland Basin and compares SM to 12 peers. Again, SM is the leader. This didn't just happen. Our investment in people and cutting-edge data and technologies ultimately leads to the differential bottom line performance that is demonstrated here.  Turning now to Slide 14 and capital efficiency. On the left, we again see Enverus data. This time, looking at capital efficiency or capital cost per barrel of EUR by operator in the Midland Basin. Here, SM is among the top 4 leaders. On the right side, we present Rystad data for efficiency and proppant pumping. SM ranks #2 among 27 Permian peers for proppant pump per day. Behind the data, comparing SM to the top listed peer SM laterals are about 5% longer and SM pumps on average 15% to 20% more proppant per foot. Again, our application of data and technology leads to these demonstrated peer-leading efficiencies.  Turning to Slide 15. Here, we show a graph from a JPMorgan report that incorporates Enverus data. JPMorgan points out in their report that SM has shown solid trends in both our Midland and South Texas programs. In this figure, we focus on JPMorgan's presentation of SM's well performance in the Midland Basin. This shows cumulative performance on a BOE basis by year in an effort to detect programs that may be high-grading zones drilled or otherwise detect declining asset quality. This is not the case with SM as we have been codeveloping multiple zones over the entire time period, not just high grading to the best single zones and we developed a customized spacing for each drilling spacing unit and each interval. Our production forecasts have been quite accurate and results will vary predictably based on the actual mix of zones drilled and the location of the pads being developed.  Skipping to Slide 17 in our Midland Basin program. The chart on the left is produced by our team. We update this each quarter to demonstrate the outperformance of our Howard County wells compared to 17 peers. The lower black line represents the average cumulative oil performance of the 17 peer operators in Howard County during the period and the upper blue line is the average of SM wells. The SM average outperforms the peers, assuming normalized lateral lengths, producing 34% more oil as updated through the first 25 months on production.  And on the right side, organically building inventory and economic value, we show our progress in applying our Midland operations model to our most recent acquisitions. At the 20,000 net acre North Martin and South Dawson counties acquisition, which we call Klondike, implementation of the SM operations model has already included environmental efforts such as flare assurance and flare reduction, a field-wide LDAR survey and spill risk mitigation, community outreach, including donations to the local school and fire department, production optimization of existing wells and facilities as well as SCADA and automation installation for improved surveillance of production parameters.  We are excited that we will be ready to spud our first well on this new acreage in December. As we mentioned last quarter, we intend to target the Dean and Middle Spraberry sand intervals. We estimate that new wells were breakeven on average at less than $50 per barrel oil, assuming $2.50 per Mcf gas and a 10% discount rate. At Sweetie Peck, as I mentioned earlier, we completed an asset exchange with an offset operator, which enabled us to increase our working interest from around 42% to almost 100% in 9 new 15,000-foot lateral wells. These wells are expected to be online in the first quarter, setting us up for stronger oil production early in the year.  Turning now to South Texas on Slide 18. In 2023 to date, we have brought on 30 wells that have reached peak IP30 rates, these wells have averaged over 1,900 BOE per day peak IP30 with an average of 43% oil and 72% liquids. This includes wells across our acreage position in both liquids-rich gas and high oil content areas, as you can see by the location of the blue stars. Overall, SM has completed 98 wells in the Austin Chalk that have reached IP30 as of October 2023.  And turning to Slide 19. We are very excited to have our new operations surveillance room fully up and running in the third quarter. This centralized facility is a result of collaboration among several SM teams, production operations, our Permian instrumentation, electrical, automation and communications team, advanced analytics and emerging technologies, IT, operations technology, facilities and office management. It empowers our operations team with leading technologies that serve to improve operating efficiencies, reduce operating costs and ensure improved environmental stewardship. The technologies employed enable monitoring and communicating with field personnel as well as midstream companies and generating automated responses, thereby cutting reaction times.  For example, the monitoring and automated response capabilities enabled early detection and resolution of potential compressor downtime events prior to shut down.  So I'll wrap up by reiterating our theme. SM Energy presents a sustainable and repeatable business model that is characterized by cutting-edge technology, outstanding operations, a strong balance sheet, growing return of capital to stockholders, now with an increased and durable fixed dividend and strategic inventory growth.  Thank you for your interest in SM Energy, and I look forward to our Q&A call tomorrow.
End of Q&A: